Executives: Trina Schurman - Director, Investor Relations, Nordstrom, Inc. Blake W. Nordstrom - President & Director Michael G. Koppel - Chief Financial Officer & Executive Vice President Erik B. Nordstrom - Director, President-Stores & Executive VP Peter E. Nordstrom - Director, Executive VP & President-Merchandising Kimberly Conroy Greenberger - Analyst, Morgan Stanley & Co. LLC
Analysts: Oliver Chen - Cowen Group, Inc. Paul L. Lejuez - Wells Fargo Securities LLC Matthew Robert Boss - JPMorgan Securities LLC Dorothy Senghas Lakner - Topeka Capital Markets Paul Swinand - Morningstar Research Jeff S. Stein - Northcoast Research Partners LLC Barbara Wyckoff Siris - CLSA Americas LLC Edward J. Yruma - KeyBanc Capital Markets, Inc. Paul E. Trussell - Deutsche Bank Securities, Inc. Neely J. N. Tamminga - Piper Jaffray & Co (Broker) Heather N. Balsky - Merrill Lynch, Pierce, Fenner & Smith, Inc. Stephen W. Grambling - Goldman Sachs & Co. Matthew Robert McGinley - Evercore ISI Joan Payson - Barclays Capital, Inc.
Operator: Hello and welcome to the Nordstrom Fourth Quarter Conference Call. At the request of Nordstrom, today's conference call is being recorded. All lines will be placed on a listen-only mode until the question-and-answer session. And I would now like to introduce Trina Schurman, Director of Investor Relations for Nordstrom. You may begin.
Trina Schurman - Director, Investor Relations, Nordstrom, Inc.: Good afternoon, and thank you for joining us. Today's earnings call will last 45 minutes and we'll include 30 minutes for your questions. Before we begin, I want to mention that our speakers will be referring to slides, which can be viewed by going to nordstrom.com in the Investor Relations section. Today's discussion may include forward-looking statements, so please refer to the slide showing our Safe Harbor language. Participating in today's call are Blake Nordstrom, President; and Mike Koppel, Chief Financial Officer, who will discuss the company's fourth quarter and 2014 performance in addition to outlook for fiscal 2015. Joining during the Q&A session will be Pete Nordstrom, President of Merchandising; and Erik Nordstrom, President of Direct. With that, I'll turn the call over to Blake.
Blake W. Nordstrom - President & Director: Thank you, and good afternoon, everyone. As we reflect on the year, we consider 2014 to be a watershed moment in our company history with the successful entry into Canada, the expansion of the Rack business through store growth and the launch of nordstromrack.com, the acquisition of Trunk Club and the decision to explore the potential sale of our credit receivables. These milestones are the outcome of our strategy, which is squarely focused on serving customers on their terms and delivering the Nordstrom experience that they expect from us. Several years ago we began our path to accelerate growth in multiple channels as we evolve with the changing needs of our customers. In 2014 we delivered tangible results in executing our strategy over the last several years. Today we made Fortune's list of the World's Most Admired Companies, ranking number 14 overall and leading in our category. We continued to see the ongoing evolution of retail with the accelerated growth in e-commerce, the continuing importance of stores and the increasing customer interaction between them. Customers increasingly expect a personalized experience that merges the richness of stores with the convenience of online. We're uniquely positioned to serve customers through our focus on service, product and capabilities. We also believe we are competitively advantaged by serving customers better through our multiple touch points in full-price, off-price, stores and online. As a result we have more customers shopping with us and more customers shopping two or more channels. This is meaningful as customers who shop multiple channels spend more and demonstrate greater loyalty. In 2014 we reached an important milestone with the Rack, representing our biggest source of new customers, attracting nearly four million. Additionally, about 1/3 of our Rack customers also shop in our full-price business. A year ago, we enabled customers to return purchases from HauteLook and nordstromrack.com to any of Rack stores. This singular capability drove nearly one million incremental trips to our Rack stores. In 2014 we expanded our capabilities to ensure we're relevant today and in the future. Our first store in Calgary far exceeded our expectations, reflecting a multi-year effort from our team to address the unique challenges of crossing a border. In the U.S. we increased our presence with two full-line stores in Jacksonville, Florida and Houston, Texas. They feature our award winning design concepts that incorporate flexibility and light. In the Rack, we reached a record number of 27 store openings which contributed to Rack's total sales growth of 17%. We've expanded our capabilities with the acquisition of HauteLook in 2011, which has grown nearly 150% in three years. HauteLook launched nordstromrack.com in the spring, adding to its strong growth trajectory. We more than doubled selection since the launch, with accelerated sales growth for the combined business in the second half of the year. Finally we strengthened our multi-channel capabilities when we acquired Trunk Club, a high growth business that offers a new approach to personalized service. In 2014 we also added capabilities to enhance the customer experience with an emphasis on convenience. This includes an upgraded point-of-sale system in addition to ongoing enhancements to mobile, the online checkout process and texting tools for our salespeople. We consider our product offering to be a key differentiator in providing customers with the top brands they want. This is enabled through our vendor partnerships and our own product group, where we can provide vendors new channels of distribution that are beneficial for our vendors and the overall customer experience. In our full-price business we tripled our selection on nordstrom.com since 2011. In the Rack, we offer customers great brands at great prices with 48 of the top 50 full-line brands. In addition when brands participate in dual-flash events, on nordstromrack.com and HauteLook, we've seen a lift in brand sales across all four channels. Most recently we announced our partnership with Madewell, starting with an offering in 15 stores and online. Similar to our partnerships with Topshop and Charlotte Tilbury, this is another way to enhance our product offering and create excitement for both new and existing customers. As we look ahead to 2015, we have a number of growth initiatives planned in support of our efforts to improve the customer experience, including our ongoing expansion in Canada with a store opening in Ottawa in the spring and Vancouver in the fall. In the U.S., we plan to expand our retail presence with three new full-line stores in Puerto Rico, Minneapolis, and Milwaukee. We also plan to open 27 Rack stores this year and roughly 25 stores in 2016. Since we announced our growth plans a couple of years ago, we now see a clear path to reach 300 Rack stores by 2020. Our supply chain capabilities are another key element in enhancing the customer experience through faster delivery. This fall, we are planning to open a third fulfillment center located in Pennsylvania. Having fulfillment centers closer to the customer will enable us to offer two-day shipping for free to more customers. We will continue to fuel our fastest-growing businesses through deeper integration and capabilities. Trunk Club doubled its sales in 2014, and has planned to double its sales again this year. From a merchandise perspective, we've enjoyed our partnership with Topshop over the last two years, which has attracted new customers to Nordstrom. Based on the great reception we've heard from customers, we expect to expand the offer from roughly 50 doors to over 80 doors this year. In addition, a new partnership with Madewell is another way for us to provide sought-after brands that appeal to new and existing customers. And finally, we view our Nordstrom Rewards loyalty program as an important way for us to deepen our engagement with customers and attract new customers. Rewards members represent 40% of our sales volume. We welcomed over 1 million new members in 2014, a 15% increase from the previous year. We would like to give customers more choices with our loyalty program, and our goal is to provide an integrated, multi-tender program. Last year, we piloted an extension of our offering in Texas and in our first store in Canada. Based on the strong customer response, we look forward to rolling out the expanded program to all stores and online in the second half of the year. In closing, we are confident in our ability to execute our customer strategy as we evolve with our customers through our focus on service, product and capabilities. With that, I'll turn it over to Mike.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Thanks, Blake. As we wrap up another year, we are encouraged with the progress we've made in executing our customer strategy. Our efforts to provide a best-in-class customer experience are centered on service, product and capabilities. To reinforce Blake's comments, our strategy is driven by the changing expectations of our customers. As our business evolves with the customer, the way we create value is evolving too. Over the last several years we have accelerated our investments to fuel growth across our businesses in full-price, off-price stores and online. About a decade ago, we started on a path of developing our multi-channel capabilities by integrating our buying teams and inventory platform. In 2011 we accelerated online growth starting with enhanced capabilities in e-commerce through the addition of talent, our acquisition of HauteLook and advancements in technology. In 2012 we announced our planned investments in new growth opportunities including our entry into Canada, our Manhattan flagship store and the accelerated expansion of the Rack. Not only do these growth initiatives support our customer strategy, we expect these investments to drive top line growth and deliver returns accretive to our business. Since then, in addition to executing our growth plans we have increased our focus on our enterprise capabilities to enable a more seamless customer experience. This is reflected in the significant milestones achieved in 2014, including the launch of nordstromrack.com, our successful entry into Canada and the extension of our service approach through the acquisition of Trunk Club. As we look ahead, we plan to further leverage our strategic capabilities through technology, supply chain, merchandising and marketing. Now let's turn to our current financial results. We achieved our expectations for 2014, reflecting consistent strength in our sales trends and our investments to fuel growth. We added nearly $1 billion to our top line with record sales of over $13 billion. Our sales growth of 7.8% and comparable sales increase of 4% were ahead of our expectations. Our ongoing investments contributed to top line growth of roughly 25% from three years ago. Not only did our overall business generate growth, we've aggressively invested in Rack stores and e-commerce which collectively make up over 40% of our sales today, up from 30% three years ago. Return on invested capital was 12.6% reflecting a 50 basis point reduction related to the Trunk Club acquisition and the accelerated pace of capital investments that have roughly doubled since 2011. For the sixth consecutive year we generated operating cash flow in excess of $1 billion. Through our balanced capital allocation approach this past year we re-invested roughly $750 million back in the business and returned $860 million directly to shareholders through dividends and share repurchases. In addition, we announced last week our quarterly dividend which increased 12% over last year. Earnings per diluted share of $3.72 were consistent with our prior outlook of $3.70 to $3.75. Our results also included a $0.13 reduction from the Trunk Club acquisition which was incorporated in our prior outlook. Now, I'd like to comment further on our fourth quarter performance. Our earnings per diluted share of $1.32 were a result of continued sales strength and operating execution. We achieved total sales growth of 9% and a comparable sales increase of 4.7% reflecting a strong holiday performance. In our full-price business trends in full-line stores showed sequential improvement over the year with nordstrom.com demonstrating continued momentum. In our off-price business the Rack rebounded from the softness experienced late in the third quarter and our combined channel of nordstromrack.com and HauteLook delivered the highest growth. Moving to inventory and gross profit, we corrected our excess inventory at the Rack. We exited the year with inventory aligned to an appropriate level and gross profit performance consistent with our expectations. We are on track to achieve our goals of top quartile shareholder return driven by a high single digit sales growth and mid-teens ROIC. We believe this will lead us to be a $20 billion-plus business by 2020 while creating significant shareholder value. As we've shared with you previously we expect operating margins to reflect the near-term impact of our customer strategy. This includes investments in stores and online growth, the expansion into Canada and foundational capabilities. As a result we anticipate that these investments will contribute to double digit increases in depreciation and rent. EBITDAR, which excludes these components, provides an indication of our core operating performance. We continue to focus on profitable growth in our core business which is reflected by EBITDAR growth in line with sales growth. Additionally, we've made meaningful progress in increasing our operating efficiencies particularly in our full-line business and continue to evaluate our operating model throughout the company. Moving to our capital plan, we expect to invest $4.3 billion or 5% of sales over the next five years. Technology is 35% of the plan reflecting an increased shift towards foundational investments. This includes a merchandising solution that enables our growth and a seamless integration across our multiple channels. It also includes the expansion of our fulfillment network. This not only supports a $2.5 billion online business today that is anticipated to grow by over $1 billion in the next several years but also enables an integrated customer experience across stores and online. New markets representing Canada and Manhattan make up 25% and new stores are 18%. The balance of 22% relates to reinvestment in stores, significantly down from 40% over the last five years due to our remodel prioritization towards high profile stores and improved efficiencies. Now I'd like to provide additional color on our 2015 capital plan of approximately $1.2 billion. Relative to our five-year capital plan, we expect that this year will represent our peak level of investment at roughly 8% of sales. The step-up in 2015 compared to $750 million in 2014 is primarily driven by new stores, including flagship stores in Vancouver, Toronto, and Manhattan. In addition, the plan incorporates three flagship store remodels in Seattle, Chicago, and San Francisco, and a new East Coast fulfillment center. As the pace of investments begins to moderate beyond 2015, we expect to see an improvement in earnings growth. Finally, I'd like to turn to our 2015 financial outlook. Our plan for earnings per diluted share of $3.65 to $3.80 incorporates total sales growth of 7% to 9%. We are planning a comparable store increase of 2% to 4% based on current trends. Our sales outlook assumes in full-price flat comparable sales at full-line stores and roughly a 20% total sales increase from our online business of nordstrom.com and Trunk Club with mid-teens growth at nordstrom.com. In off-price, Rack total sales growth in the low double digits with a low single digit comparable sales increase and roughly a 25% increase from our combined channel of nordstromrack.com and HauteLook. Other considerations incorporated in our outlook impacting gross profit and SG&A include the following. The rollout into Canada, estimated as an EBIT loss of $60 million compared to $32 million in 2014. This increase includes infrastructure and preopening costs of new stores. As we shared with you previously, we believe this market ultimately represents a $1 billion-plus sales opportunity. We expect this level of loss will begin to decline in 2017 and will become accretive as we reach scale. In addition, we anticipate $30 million in expenses associated with growth enablers, comprised of the additional fulfillment center and our expanded loyalty program planned in the second half of 2015. There is also an EBIT loss of roughly $30 million related to Trunk Club compared with a loss of $25 million in 2014. The dilutive impact is expected to moderate in 2016 resulting from increased operating profitability. These growth initiatives contribute to our 20% planned increase in depreciation and rent expense in 2015. EBITDAR when excluding the impact of Canada and Trunk Club is anticipated to grow roughly with sales. Please also refer to the earnings release for additional assumptions and timing considerations contemplated in our outlook. Before we close, we'd like to comment that the process in regards to our potential sale of our credit receivables is expected to wrap up in the first half of 2015. We look forward to our opportunities ahead as we continue on our path to provide a best-in-class customer experience and deliver top quartile shareholder returns. With that, I'll turn the call over to Trina.
Trina Schurman - Director, Investor Relations, Nordstrom, Inc.: Thank you, Mike. Before we get started with Q&A, we'd like to ask that you limit to one question. If you have additional questions, please return to the queue. Yvonne, we'll now take our first question.
Operator: Thank you. And our first question today is from Oliver Chen from Cowen and Capital (sic) [Cowen and Company] (19:00).
Oliver Chen - Cowen Group, Inc.: Thanks a lot. Congrats to a solid finish and all the innovative initiatives ahead. We had a question related to the activity around the port slowdown and the earlier Easter. Do you feel like that's within your plans in terms of what you're seeing? Or how does that impact you in terms of your vendors? And just a quick follow-up; what's driving the main rationale behind your gross margin guidance? Do you feel like Rack is in a good place with respect to inventory? Thank you.
Blake W. Nordstrom - President & Director: Oliver, this is Blake. I'll take the first part regarding the supply chain. Through the fourth quarter, we had some minor impacts but we felt it was immaterial. It predominantly, though, can impact flow, and as we have said for some time, our ability to have freshness and flow is important with our customers. So we watch it closely, and of late it's been more in the news. Pete was just in market and I know a number of the vendors are talking about it, but we have a pretty balanced approach and we work closely with our vendor partners. And to date, we've been able to manage it fairly well. But our team's watching it closely. I'll turn the gross margin part over to Mike.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Yes, Oliver, this is Mike. Our assumptions in gross margin was primarily driving that slight decrease from 2014 is occupancy costs, and it's the occupancy costs related to the continued growth of the Rack as well as the new stores we're opening, particularly the new ones in Canada.
Oliver Chen - Cowen Group, Inc.: Thanks a lot. Best regards.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Sure. Thank you.
Operator: Thank you. Our new question is from Paul Lejuez from Wells Fargo.
Paul L. Lejuez - Wells Fargo Securities LLC: Hey, guys. Thanks. Just wondering what you see Trunk Club ultimately growing to on the top line? And how do you think about the profitability of that business in a more mature state? Thanks.
Erik B. Nordstrom - Director, President-Stores & Executive VP: This is Erik. As mentioned, Trunk Club was on a real high growth rate, more than doubled last year and it is planned to double again this year. We haven't publicly stated, but we think ultimately it can be, but we think it's a big business. I think it's safe to say that. Right now our focus is mainly around supporting their growth plan and there's areas like supply chain, alterations, some supply right around vendors that we can help them with. We had just last week here in Seattle, their Custom business which – you may know they have three parts to their business, they have the Trunk business that's basically online personal styling, they have five showrooms and the third part is their Custom business that they've taken on road before. We actually have that road show in our Downtown Seattle store last week and they're just at the very beginning of starting to find some synergies there. So that business, without being specific I'll tell you we think it could be very big. The other part is a little less formal (22:11) is what they can do for our stores. Like that customer experience, we're testing some things there but we do believe there's ways they can help us. As you know our personal styling program, our stores is about 1,500 stylists that have been very important part of our growth. They do some different things with their styling. We think we can learn on them.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Paul, this is Mike. I would also add, you may recall when we originally bought the business we indicated one of the things that we were impressed with was for a startup how quickly they had moved to breakeven operating profitability and we're learning a lot in terms of a small business that can scale relatively quickly and that also can apply some of those ways of doing business in a highly personalized way to be very profitable. So we're excited about what we can learn there as well.
Paul L. Lejuez - Wells Fargo Securities LLC: Thanks, guys. Good luck.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Sure. Thanks.
Operator: Thank you. Our next question is from Matthew Boss from JPMorgan.
Matthew Robert Boss - JPMorgan Securities LLC: Hey. Good afternoon, guys. So on capital priorities, you outlined that this year the $1.2 billion will be the multi-year peak and then you talked about an improved earnings growth rate following 2015. Could you just elaborate a little bit on the drivers of that?
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Sure, Matthew, this is Mike. Yes, well, 2015, there's a lot going on as we articulated, we've got some significant investments in our store openings in Canada which include some pretty large stores in Vancouver and Toronto, we have the continued ongoing investment in Manhattan which right now is purely a capital investment but is a fair amount of capital. And then in addition we are investing in our infrastructure to support all this growth – this growth is a wonderful thing but if you don't have the tools and systems to support it, it's not going to work very well. And so what you're seeing here is a kind of a coming together of a lot of activity in this year. Post 2015 as we start to see those capital outlays somewhat moderate and become more consistent, we should see the operating model start to catch up a little bit more for those investments and we should start to see earnings growth to be a little bit better than it's been in the last couple of years.
Matthew Robert Boss - JPMorgan Securities LLC: Great. Best of luck.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Thank you.
Operator: Thank you. Our next question is from Dorothy Lakner from Topeka Capital Market (sic) [Topeka Capital Markets] (24:38).
Dorothy Senghas Lakner - Topeka Capital Markets: Thanks and good afternoon, everyone. Just wondered if you could provide a little bit more color on what you're seeing in the loyalty business. Clearly, you've continued to see impressive growth there helping to drive sales. And I was just curious the comment you made about more customers shopping in multiple channels. Clearly, that's a great driver too. So, in terms of the number of customers you added, what's the total number of customers you've got in the various loyalty programs at this point? And what percentage of that customer base, are actually shopping in multiple channels? And then just a little bit of color on the expanded program that you've piloted, if you could.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Sure, Dorothy, this is Mike. We've for the last roughly five years seen some really strong growth in our Nordstrom rewards program and that has been driven by program that has been entirely connected to one of our tenders, whether it's our debit card, whether it's our private label credit card, or our co-branded Visa card. And one of the things that we learned with our pilot this last year is we have a lot of customers out there and a lot of potential future customers that would love to engage with us but don't necessarily want to open up another tender. And so the addition to our overall loyalty offering is going to include a tender-neutral offering, which we're not going to disclose specifics yet but we will have a way of connecting with those customers other than through a credit card or a debit card. And the test we had both in Canada and in Texas really had some great results and reinforced to us that this is another way that we can connect and build lifetime loyalty with our customers. Currently today we have about 4.3 million active members in the rewards program. Last year we added about 1 million. Clearly, we add and (26:47) as the years go on, so we're constantly looking to engage with new customers.
Dorothy Senghas Lakner - Topeka Capital Markets: And just on the number of those shopping in more than one channel?
Michael G. Koppel - Chief Financial Officer & Executive Vice President: I don't really have that number with me but if at some point we have it, we'll certainly share it with you.
Operator: Thank you. Our next question is from Paul Swinand from Morningstar, Inc.
Paul Swinand - Morningstar Research: Good afternoon and thanks for taking the question. Question on you're growing the online channel in a number of different ways from the different acquisitions to improving the old acquisitions and obviously (27:28) your own Rack brand, et cetera, but are you seeing any new or changed productivity in the way you're acquiring customers or the way you're marketing to customers? In other words should that get a more efficient marketing productivity over time or is it getting harder to acquire customers as the comparison gets tougher?
Erik B. Nordstrom - Director, President-Stores & Executive VP: This is Erik. It changes constantly, how the different variables, many different variables in acquiring customers online (28:05) change year-to-year. They change month-to-month. So what the mix is between all those different variables, we're constantly changing. (28:16) search engines and market – search engine optimization that we go through. So I wouldn't say it's necessarily getting harder but I will say that the mix is constantly changing and so we have to change accordingly.
Paul Swinand - Morningstar Research: Could you maybe just give us some color on what you're currently seeing for strategies that are working?
Erik B. Nordstrom - Director, President-Stores & Executive VP: No. We really don't get into that.
Paul Swinand - Morningstar Research: Okay.
Erik B. Nordstrom - Director, President-Stores & Executive VP: All right.
Paul Swinand - Morningstar Research: Best of luck. Thanks.
Erik B. Nordstrom - Director, President-Stores & Executive VP: Thanks.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Thank you.
Operator: Thank you. Our next question is from Jeff Stein from Northcoast Research.
Jeff S. Stein - Northcoast Research Partners LLC: Good afternoon, guys. Just want to clarify the profitability outlook for Canada. It sounded to me that 2017 is probably the year when losses are going to start coming down. So I just want to make sure I'm correct in understanding that it sounds like this will be a year of higher losses and then again 2016 will also be a year of even higher. Would that be correct?
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Jeff, this is Mike. We expect 2015 and 2016 to be relatively comparable in terms of the losses and then after we open all the stores and start to get some scale we'll see that get better in 2017.
Jeff S. Stein - Northcoast Research Partners LLC: Okay. So just from a very high level in terms of when you start harvesting the benefits of your capital program, it sounds like this is probably going to be kind of the trough year where you see the greatest pressure on earnings and next year will still continue to see pressure but you would see positive earnings growth year-on-year?
Michael G. Koppel - Chief Financial Officer & Executive Vice President: That's currently what we're seeing today.
Jeff S. Stein - Northcoast Research Partners LLC: Got it. Okay. Thank you very much.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Thank you.
Operator: Thank you our next question is from Barbara Wyckoff from CLSA.
Barbara Wyckoff Siris - CLSA Americas LLC: Hi, everybody. Could you talk about the trends in women's sportswear and accessories what were the top performing categories? What's been disappointing? And then if you could comment, please, on your return rates? You know you're a few years into free shipping and free returns. Thanks.
Peter E. Nordstrom - Director, Executive VP & President-Merchandising: Hi. This is Pete. In women's sportswear specifically where we've had the most success, which is largely kind of around what we would call our young customer segment, and the leading brand and initiative there is the Topshop performance, which has been really very, very good. And I think it was mentioned in the comments we're expanding from 50 stores to 80 this year. And then the existing stores were comping really well there. That's been a great catalyst for women's apparel in total. I'd say the other category in women's apparel, there's really two that have been pretty good. Coats have been pretty good and dresses have been pretty solid. With the accessories, leading the way there has been our handbag business and then our jewelry business. Those have been probably the two categories that have been the best performing.
Barbara Wyckoff Siris - CLSA Americas LLC: And returns? Thanks.
Erik B. Nordstrom - Director, President-Stores & Executive VP: Yeah, I'll take return rates. This is Erik. We've had free shipping, free returns on Nordstrom.com for three-and-a-half years now. So there really hasn't been any change since then. In off-price, we do charge, I think, for both of those. The important thing is the returns. Number one, returns is a big strategic subject for us. Being great for customers around returns is something that's long been part of our deal and that certainly includes online. For us, a big part of the value in our approach to returns is in having returns in the store. So online purchases being able to be return to our store, well over 60% of our Nordstrom.com returns end up at our full-line stores, well over 70% HauteLook and Nordstrom Rack returns end up at our Rack stores. Last year at Rack stores, that drove, as Blake mentioned, an additional million visits to our Rack stores. So there is an absolute synergy. The returns part is probably the easiest, biggest synergy subject for us to talk about when we talk about the synergies between our stores and online. Again, return rates have been pretty stable at Nordstrom.com and what we're seeing more is the benefits of linking it to our stores.
Barbara Wyckoff Siris - CLSA Americas LLC: Great. Thank you.
Operator: Thank you. Our next question is from Ed Yruma from KeyBanc Capital Markets.
Edward J. Yruma - KeyBanc Capital Markets, Inc.: Hi. Good afternoon. Thanks for taking my questions. I guess, first, you guys did a lot to improve pricing transparency this year by kind of doing this we will not be undersold, and then also I guess by changing the sales pattern that you have. I guess, as you hindsight the year, did you get the kind of gross profit and sales return you would have liked out of those two initiatives? And then I guess as a follow-up, I think you mentioned that the new DC was to support free two-day shipping. So I guess when does that get put into place? Is there any other negative impact to the P&L from that? Thank you.
Peter E. Nordstrom - Director, Executive VP & President-Merchandising: This is Pete. Well I think with regards to the pricing, that was not intended to be a near-term lever to drive results, that's much more of a long-term value proposition with customers based on a desire to gain trust and loyalty and confidence over time and it's important for us to be transparent on that whole pricing subject. And with the way that online business has done now, the customers are way more enabled and they've got a lot of information and we've got be respectful of that, responsive to it. So that's just driven how we've adjusted some of our pricing velocity, most is still based in a bit of a reactionary thing. We're trying to run a full-price business here. We have the natural rhythm cycles of markdowns that happen which gets addressed in our clearance strategy as you talked about going from those two (34:14) to that nearly to the six clearance events. But the promotional stuff is mostly just a reaction to what happens with some of the competition, that's leveled out a little bit here as the year has gone on and then where we are now and that things have moderated at least for now. I'm sorry, the second part of the question...
Blake W. Nordstrom - President & Director: I can take that.
Peter E. Nordstrom - Director, Executive VP & President-Merchandising: Okay.
Blake W. Nordstrom - President & Director: The new DC opening up, we haven't announced that we're going to free two-day shipping. The point was having an additional fulfillment center is it gets closer to a big chunk of customers. So about almost half of our customers are within a two-day ground delivery of that Pennsylvania fulfillment center. And so a big chunk of our orders for both customers will be one to three days faster for them than currently is. Now we will still ship some orders from our Cedar Rapids fulfillment center to the Northeast, we won't have a perfect allocation there but mainly we continue to focus on – and the long-term strategy here is to have a fulfillment network that gets practically all, at least over 90% of our customers in the United States within a two-day ground and this is one step in that direction.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: And the last part of your question, this is Mike, you asked about the cost of this and in our comments we noted that there's an anticipated $30 million increase in expense, we haven't broken out the DC but that included both the DC and the loyalty program.
Edward J. Yruma - KeyBanc Capital Markets, Inc.: Great. Thanks so much, guys.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Sure, Ed.
Operator: Thank you. Our next question is from Kimberly Greenberger from Morgan Stanley.
Kimberly Conroy Greenberger - Analyst, Morgan Stanley & Co. LLC: Great. Thank you. Mike, I just wanted to follow up on an earlier comment you made. You mentioned that you expect earnings growth to reaccelerate after this sort of thrust of the investment program, it sounded like that reacceleration would happen around 2017. Is that a correct read on it? Or do you think it's more the 2018 timeframe? And then just a clarification on your Trunk Club comments, I think you mentioned that you were all quite impressed with how quickly the Trunk Club business model was able to get to breakeven. I think you mentioned that it delivered a $25 million loss in 2014 for Nordstrom and $30 million in 2015 is expected. Is that differential just a step-up from purchase accounting? Or is there something about acquiring Trunk Club that actually caused them to go from breakeven to a loss situation?
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Sure, Kimberly. Thanks for your questions. On the first one, I think what we were saying is post-2015 we would start to see earnings growth improve. I don't think we used the word accelerate but we thought it would improve beginning after the peak year of 2015 investment. The second part on Trunk Club is we did indicate operating profitability at breakeven. And you're right. The losses are related to the amortization of the purchase accounting. So that's what contributes to that total $25 million that you mentioned.
Kimberly Conroy Greenberger - Analyst, Morgan Stanley & Co. LLC: Super helpful. Thank you.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Sure.
Operator: Our next question is from Paul Trussell from Deutsche Bank.
Paul E. Trussell - Deutsche Bank Securities, Inc.: Good afternoon. $20 billion in sales by 2020 sounds pretty conservative to me but using your forecast, how should we think about the margin profile of that business? I think you finished this year around 15% EBITDAR, Mike. How should we think about the next few years, especially on the SG&A front?
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Yeah, well, Paul it might sound conservative in the numbers but it's a heck of a lot of effort to get there. We think we have a pretty good plan and $20 billion is a good target for us. But, anyway, in terms of how we think about the profitability, I'd go back to what's been our longstanding guidance and that's been the high single-digit sales growth and mid-teens ROIC. It's very difficult to predict precise margins over shorter periods of time but our goal is to target those two numbers, and achieving them over that longer period should generate some pretty significant value.
Paul E. Trussell - Deutsche Bank Securities, Inc.: All right. Thank you.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: You're welcome.
Operator: Thank you. Our next question is from Neely Tamminga from Piper Jaffray.
Neely J. N. Tamminga - Piper Jaffray & Co (Broker): Great. Good afternoon. Can we dig a little bit more into the Trunk Club integration timeline? At this point, have you guys flipped the switch, the proverbial switch, wherever that is, with fulfilling Trunk Club orders through Cedar Rapids at this point? Or where are you in that progression? And is that contemplated in the 2015 dilutive impact? Thank you.
Erik B. Nordstrom - Director, President-Stores & Executive VP: Hi, Neely, this is Erik. No, to answer your question. We're not fulfilling Trunk Club orders out of Cedar Rapids at this point. They have a – they're doing that out of Chicago. What we're helping them with is really it's part of our supply chain network. While not in the physical location of Cedar Rapids, our team is supporting that. An easy, tangible example is we've got Trunk Club on our shipping contract with UPS, a significant savings with that. And as our long-term supply chain strategy is to have everything integrated. That includes our fulfillment centers, our DC, our stores, and long-term we've sort of looked for Trunk Club to be part of that. But in the short-term, they continue to be fulfilled out of Chicago.
Neely J. N. Tamminga - Piper Jaffray & Co (Broker): Thank you.
Operator: Thank you. Our next question is from Lorraine Hutchinson from Bank of America.
Heather N. Balsky - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Hi. Good afternoon. This is Heather Balsky on for Lorraine. Could you talk a little bit about your inventory plan going forward, especially for the Rack? How are you thinking about pack and hold investment? And then also just could you provide some color on how you're getting to the 300 store target for the Rack? What is that based on? Thanks.
Blake W. Nordstrom - President & Director: Heather, this is Blake. Our pack and hold has been fairly consistent now over the last I'd say year and half or two years. It's about 11% of the total company's inventory, and so we continue through the vendor partnerships and relationships, have terrific access to product that closeout the end of the season that we're able to really pack and hold in the warehouse and use the following – you know, six months later. It helps us turn the corner in each of the existing stores and particularly is a key component for the new store growth. We mentioned that we opened 27 stores last year and 27 this year. Pack and hold enables us to execute that. So that's an approach with our vendor partnerships and vendor – our inventory maximizations that we're really pleased with and working well. In terms of the 300 stores, it's a pretty fluid model, opening the Racks in terms of the lead-time, particularly compared to full-line stores, and we're just learning with each one and we continue to get great reception from the customer. I think it's really reflected in, and we've shared this before, on the productivity of the stores. They both maintain and enhance slightly with the addition of these new stores. So we're encouraged by those opportunities. Sometimes there's some vagaries in the retail real estate market year-to-year but we feel very confident looking ahead between now and 2020. Given the criteria we use for new stores, the customer demand, the opportunities that are out there, that we feel very confident to publicly state that we should have bigger stores by 2020.
Heather N. Balsky - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Great. Thank you.
Operator: Thank you. Our next question is from Stephen Grambling from Goldman Sachs.
Stephen W. Grambling - Goldman Sachs & Co.: Thanks. Good afternoon. I have a few follow-ups to earlier questions. I guess first, can you provide any update on the potential credit card sale and remind us on how you were thinking about capital allocation related to those proceeds? And then, as an unrelated follow-up. As you get to the 300 Rack store target, how are you thinking about the margin for this segment on an absolute basis? And any kind of directional basis you can give relative to the other channels? Thanks.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Sure, Steve, this is Mike. In terms of the credit card profit, as we indicated in our comments, we're very pleased with the progress to date. And we've learned a lot through this process and actually it's been more enlightening in terms of how we think we can better serve our customers going forward. So, we're excited about that. Should we be successful, we would look at the proceeds the same way, through the same filters that we've always thought about capital allocation and that is first and foremost we always reinvest back in the business. That's where we get the highest returns and any excess capital that we have we'll return it to shareholders. And we're going to put any proceeds we might get through that identical lens. In terms of the Rack, the Rack has and consistently operates with a four-wall operating margin consistent with the full-line stores. As we go through this accelerated phase, you have a little bit of a blip because you're recognizing brands on an accelerated basis before the store opens. But, as those new stores start to become a smaller piece of the pie, we should see that four-wall contribution start to get back to what is a more normal run rate.
Stephen W. Grambling - Goldman Sachs & Co.: That's very helpful. Thanks so much. Best of luck this year.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Thanks, Stephen.
Operator: Thank you. Our next question is from Matt McGinley from Evercore ISI.
Matthew Robert McGinley - Evercore ISI: Hi, Thanks for taking my question. You have a lot of moving pieces with Rack in the fourth quarter. So I have kind of a two part on Rack. As far as the gross margin, how much of that decline in the gross margin rate was unplanned versus liquidating inventory position that you built in the third quarter? And then the second part of that, as it played out at the register at Rack, I mean you likely had ASP compression I assume based on that markdown, but your comp was okay, it was actually better than the third quarter. Did you see a new customer come in or did the customer that was coming in the store otherwise just had a bigger basket as they saw the price decline?
Blake W. Nordstrom - President & Director: Well Matt, this is Blake. We talked about in our last call that our inventories were high in the Racks, and so the team worked really hard and we're pleased that they were able to take that situation and get back in line and be current with our inventories today in one quarter. It did have, as you talked about – mentioned an impact on the margin. We had to accelerate some markdowns. We didn't see a material change in the average price, nor did we see any change, let's say per se, with our customer that – our diverse customer that shops with us. So, the actual execution of the business was very consistent. Business did pick up. We don't talk about weather but when things got a little colder in November, things like outerwear got better and our Rack business got back to a trend that we'd been seeing prior. But the third quarter was a little softer. We think we're in a good position here as we start the new year, both at the Rack and all of our businesses when it comes to inventory. And so we're real fluid at this point.
Matthew Robert McGinley - Evercore ISI: Okay. Thank you.
Operator: Thank you. And we do have time for one final question. Our last question today comes from Joan Payson from Barclays.
Joan Payson - Barclays Capital, Inc.: Hi, good afternoon. Could you talk a little bit about the five-year capital plan and the Canada earnings expectations and whether those include the ultimate plan for Rack stores and an e-commerce launch or would those be incremental?
Michael G. Koppel - Chief Financial Officer & Executive Vice President: I'm sorry. The first part of the question was the capital plan and as it relates to the Canada earnings?
Joan Payson - Barclays Capital, Inc.: So on a separate basis, basically, the new five-year capital plan and also the Canada earnings expectations, do those include Canada Rack and Canada e-commerce? Or would those...
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Got it. Got it. Yes. Thank you for clarifying that. Those do include a placeholder for Canada Rack stores but do not include a placeholder for Canada e-commerce at this point.
Blake W. Nordstrom - President & Director: Just on Canada e-commerce, we do currently do quite a business online in Canada through our dot-com site. Our business picked up significantly with the opening of our store, especially around Calgary. We're seeing the reverse synergy. We've always had stores before we had a website. The first place where we had a website before we had a store and the store opening has lifted our business.
Trina Schurman - Director, Investor Relations, Nordstrom, Inc.: Again, thank you for joining today's call. A replay along with the slide presentation and prepared remarks will be available for one year on our website. Additionally, you'll find a summary of our performance and growth strategy at the end of the slide presentation. Thank you for your interest in Nordstrom.
Operator: Thank you. And this does conclude today's conference. You may disconnect at this time.